Operator: Welcome to Cisco Systems' Fourth Quarter and Fiscal Year 2014 Financial Results Conference Call. At the request of Cisco Systems, today's call is being recorded. If you have any objections, you may disconnect. Now I would like to introduce Melissa Selcher, Vice President of Corporate Communications and Investor Relations. Ma'am, you may begin. 
Melissa Selcher: Thanks, Kim. Good afternoon, everyone, and welcome to our 98th quarterly conference call. This is Melissa Selcher, and I'm joined by John Chambers, our Chairman and Chief Executive Officer; Frank Calderoni, Executive Vice President and Chief Financial Officer; Rob Lloyd, President of Development and Sales; and Gary Moore, President and Chief Operating Officer.
 I would like to remind you that we have a corresponding webcast with slides, including supplemental information, that will be available on our website in the Investor Relations section following the call. Income statements, full GAAP to non-GAAP reconciliation information, balance sheets, cash flow statements and other financial information can also be found on the Investor Relations website. Click on the Financial Reporting section of the website to access these documents.
 Throughout this conference call, we'll be referencing both GAAP and non-GAAP financial results. The matters we will be discussing today include forward-looking statements and, as such, are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically, the most recent reports on the Form 10-Q -- 10-K and 10-Q and any applicable amendments, which we identify important risk factors that could cause actual results to differ materially from those contained in the forward-looking statements.
 Unauthorized recording of this call is not permitted. All comparisons throughout this call will be on a year-over-year basis unless stated otherwise. As in the past, we will discuss product results in terms of revenue, and geographic and customer segment results in terms of product orders, unless specifically stated otherwise.
 I'll now turn it over to John for his commentary on the quarter. 
John Chambers: Mel, thank you very much. I am pleased with our solid performance in Q4, with non-GAAP earnings per share of $0.55 on revenues of $12.4 billion, exceeding the guidance we gave you, and representing a record quarter for non-GAAP earnings per share and our second highest quarter in our history in terms of revenue.
 We generated over $3.6 billion in operating cash flow and returned approximately $2.5 billion to our shareholders through share buybacks and dividends.
 FY 2014 was a year with many big wins and several challenges. Our fiscal year began with a number of external headwinds, including the federal government shutdown and the possibility of a U.S. default, combined with significant slowdowns in emerging markets. Even with this backdrop, FY '14 ended with revenues of $47.1 billion, representing the second strongest year in our history, and record non-GAAP earnings per share of $2.06 per share.
 We maintained our non-GAAP gross margins, generated strong non-GAAP operating margins and exceeded our capital return target, returning 120% of our free cash flow to shareholders.
 Our innovation engine dramatically accelerated this year as we brought new architectures to the market with the next generation of networking, security and collaboration. At the same time, the journey we began 3 years ago to transform Cisco continued at a rapid pace.
 Let me take a step back for a moment. In 2011, we saw how rapidly the market was changing and understood that would require transformational change in our company. We saw these market changes earlier than our peers and understood the market dynamics were not unique to Cisco. We required a strategic approach, not tactical responses, to the coming transactions. That is the core of what you have seen from Cisco over the past several years. Even in 2011, we saw a much bigger picture. We rolled out our transformational plan with 2 principal objectives: first, drive innovation, speed, agility and efficiencies in our business; and second, to transform the company to move from selling boxes to selling first architectures, then solutions, and now, outcomes.
 Operationally, we've done a very good job against those objectives, which is affording us flexibility today in how we go after market opportunities.
 Our results are evident. We created significant operating leverage. In the past 3 years, revenue has grown nearly $4 billion, while our absolute non-GAAP OpEx expenses were virtually unchanged. That is very good execution, especially when compared with many of our peers.
 During the same time period, our U.S. Commercial and U.S. Enterprise business grew orders over 37% and 28%, respectively, over these 3 years. They grew double digits this last year and closed with a very, very strong in Q4, with both segments growing orders over 15%.
 These are the segments that have seen the early stages of our transformation,  meaning these segments are most successful selling integrated architectures, solutions and outcomes. Those of you who follow us closely and talk with our channels and our customers hear firsthand that our strategy is not just gaining traction, but most importantly, getting results. The changes we've made over the 3 years have enabled us to bring innovative products and solutions to market, while, at the same time, growing non-GAAP earnings per share to record levels and returning $25.2 billion to shareholders, including $16.7 billion in share repurchases at an average price of $20.58.
 Our innovation this period has secured us the leadership position in cloud and hybrid cloud, made us the recognized leader with our customers in SDN and has driven new opportunities with customers embracing the Internet of Everything.
 But we're far from finished.
 As we head into fiscal year '15 and beyond, we will continue to lead our industry with innovation. The results over the past 3 years represent significant forward progress, and you should expect that we will continue to take actions to transform Cisco in every possible aspect, from how we're organize, to how we develop products, to how customers buy from us.
 Looking specifically at FY '15, we executed well in Q4 and expect our revenues for Q1, revenues for Q1 of FY '15, to range from flat to up 1%. While we are pleased with our improved performance, I will not extrapolate our improved performance into a more aggressive assumption for what we are likely to do for the next several quarters. Our focus is on executing to our transitions in the manner that appropriately sets us up for the long term. We are assuming that SP weakness continues for the next several quarters and are not expecting any material rebound in emerging market conditions. I think the best way to characterize this next year is that I fully expect that we will execute forward in a stronger position that we're in today.
 As we see changes in that view, we would tell you how we see it as we always do. Consistent with our disciplined approach to growing resources in an important area while managing costs, when Frank details guidance later in this call, we will announce our plans to do a limited restructuring across several areas of our business. These actions are focused on investing in growth, innovation and talent, while managing costs and driving efficiencies. We expect to reinvent -- reinvest substantially all the cost savings from our restructuring actions in our key growth areas such as data center, software, security, cloud and others. While there are tremendous opportunities for our business and we are moving the resources to capitalize on them, there is also significant risk, as we discussed. This is the technology industry, and change is constant and accelerating. We have navigated this industry successfully for almost 3 decades, while nearly every competitor we faced 10 to 20 years ago has either exited our part of the market, stalled in terms of market share, or has gone out of business. Our vision is clear and our strategy is working. And it has largely played out as we expected. In 2011, I said customers will view the network as the most strategic asset, not just in communications but in IT, and this would enable us to become the #1 IT company. I am confident that we can make this aspiration a reality.
 Now let me move on to business momentum and specifically in terms of our geographies and customer segments. As a reminder, geographies are the primary way we run our business. In these areas, I will speak in terms of product orders year-over-year, unless otherwise noted.
 We finished the quarter with product orders up 1%, product book-to-bill comfortably above 1 and a product backlog of $5.4 billion. Our business in Americas grew 2%, U.S. grew 5%, with U.S. Commercial and U.S. Enterprise continuing their strong growth, up 17% and 16%,  respectively. I think Rob, those are the highest  numbers I can remember in many years. So just a nice job by Alison and Brian.
 We are seeing the continued strength in large deals. As an example, looking at deals in our U.S. Enterprise pipeline, the number of deals over $1 million increased by 22%, and deals in the pipeline over $5 million increased by over 70%. As we continue to engage strategically with our customers on their business opportunities, our Enterprise customers are making more and bigger investments as they partner with us.
 U.S. Public Sector, Pat Finn's group did a very good job. They grew over 6% in the quarter, with state and local up 3% and U.S. federal up year-over-year, 10%, in terms of orders. U.S. Service Provider declined 9%. Latin America declined 6%, with ongoing pressures in some of the largest emerging countries, including a decline of 13% in our business in Brazil.
 EMEA grew 2% as we see continued relatively [ph] stabilization across Europe. In EMEA, Enterprise business grew 8%, and Commercial grew 7%. Leading the way, the U.K. grew 6%. And within the U.K., Commercial was up 18% and Enterprise was up 19%.
 Germany, in this most recent quarter, grew 16% and again, within Germany, we saw the same characteristics. Commercial was up 13%, and Enterprise was up 17%.
 In the U.K. and Germany, we assumed similar success in these marketplace as we begin to move to selling architectures, then solutions, then business outcomes. This is the transformation we're working on to drive more broadly. Just to give you a sense of an emerging country's impact on EMEA as an example and its growth, excluding Russia, which declined 30%, EMEA would've grown 4% instead of 2%.
 Asia Pacific, Japan and China was down 7%, with China down 23% and India up 18%, while the remaining emerging countries in Asia actually declined 34%. Those are countries that do not include China and India.
 Overall, emerging countries within the 3 geographies declined this quarter by 9%. We saw the impact of economic and geopolitical challenges in China, Brazil, Russia, Argentina, Turkey and Thailand, and a number of emerging markets that many of our other peers are seeing. These declines are reducing our growth by several points from what we've expected and typically seen.
 Though the trends were looking better in Q2 and Q3 for emerging markets, the emerging countries lost momentum in Q4. The BRICM continued in double-digit declines, and the next 15 emerging countries went from positive growth in mid-single digits in Q2 and Q3 to a 9% decline in Q4. Unfortunately, as we look out, we don't see emerging markets growth returning for several quarters and believe it possibly could get worse. When we see these markets coming back, we will share that with you, as we always do.
 Moving on to our customer segments. As we've been indicating earlier, we saw strength around the globe in our Enterprise business, up over 9%, and similar strength in Commercial, up over 8%. Public sector, on a global basis, was flat. The same challenges continue in several -- in the Service Provider market, which declined 11%. Within the Service Provider market, the largest impacts came from continued decline in SP Video, with orders down 13%, and the ongoing decline in emerging markets, where Service Provider is a higher mix of the business.
 Our Service Provider customers are dealing with transitions in their own business and have been aggressively consolidating, with the transaction volumes of these consolidations over the last 12 months about as much as we've seen in the past 4 years combined.
 Let me now move on to products. I'll discuss our product momentum in terms of year-over-year revenue, but we'll share order information where it adds important color. [indiscernible] declined 7%. We saw continued strength in the ASR 9000, growing double digits, with strong penetration among the Web 2.0 customers, offset by softness in optical and mobile business.
 Our new product platforms, the NCS 6000 and the CRS-X, continued to ramp, with each of our products crossing $100 million in orders for the year, with approximately half of that coming in Q4. In these markets, where a relatively small number of customers do the majority of the volume, we added 9 new customers for our NCS product line and 39 new customers for CRS-X during the last 2 quarters of the fiscal year.
 Switching. Overall switching declined 4%. Similar to the last quarter, our campus switching business declined, specifically at the high-end, with a notable exception of the Catalyst 3850 continuing to grow very well at over 80% growth.
 In the data center, our momentum with the Nexus 9000 and Application Centric Infrastructure continues to be very strong. Since the end of last quarter, the number of customers have tripled to over 580 customers. Last quarter, it was over 180.
 We continue to deliver on our Application Centric Infrastructure roadmap. And during the quarter, we began shipping the Application Policy Infrastructure Controller, which we call APIC. This industry-first innovation provides a central place to configure, automate and manage an entire network based upon the needs of applications. In less than 1 month of availability, we have over 60 paying customers using the APIC with very positive feedback.
 We continue to see the strong growth of the Nexus 9000 and our Application Centric Infrastructure portfolio, with key wins across all major verticals, including cloud providers, hosting, financial services and technology providers. We believe we are leading this SDN transition, and you will hear the same from many of our customers. As we've discussed, we are continuing to manage the transitions with the Nexus 7000 and 9000, and we are seeing some impact on our numbers. As we said last quarter, we expect the negative impact to continue for a few more quarters.
 Data center. Data center continued to be very strong. Growth of over 30% year-over-year demonstrates that customers continue to embrace our architectural approach in this critical space. I am very proud of the success we've driven in the data center market. In 2009, many questioned why Cisco was entering the traditional server market. UCS was far from a traditional server, and while we've displaced many of our traditional competitors, it -- we did it with an innovative, architectural approach to the market.
 This quarter, Cisco UCS grew 30%, with more than 36,500 UCS customers. And this quarter, we grew our repeat business by 49%. In a market many thought we would exit, we gained share for the 18th consecutive quarter to gain the #1 position in revenue share for the x86 blade servers in the U.S., with 41% market share, 6  points above our nearest competitor. And currently, we have the #2 position worldwide, which I expect us to close to the #1 if we execute the way I believe we can, Rob.
 Our UCS business now has a run rate of over $3 billion, and we continue to lead the converged infrastructure market with FlexPod with NetApp and with Vblock with VCE. The innovation pipeline is very strong, and you should expect to see announcements in the fall that will continue to accelerate our momentum with UCS and add to our competitive advantage.
 Wireless. Wireless grew 1%, with orders up 8%. While we experienced softness in the Service Provider segment, we saw continued adoption of 802.11ac portfolio in both our Enterprise and cloud managed network business. In this business, Meraki had another amazing quarter, with growth of 116% year-over-year and subscriptions growing approximately 80%, accelerating our software and reoccurring revenue business.
 Collaboration declined 4%, as we transitioned our portfolio in this space. We saw declines in TelePresence and Unified Communications as we introduced additional new products, including our cloud family of solutions, DX70 and DX80, which are incredibly cool desktop collaboration endpoints at dramatically lower price points.
 Collaboration remains a top priority for our customers wanting to drive employee productivity. We're confident our new portfolio will drive the next phase of productivity that is yet to be delivered by collaboration to this market.
 We did see continued strength in conferencing and an increased customer shift towards software-based models, with Enterprise licensing agreements, ELAs, for our collaborative solutions up 42%.
 SP Video revenues declined 10%. Video software and solutions grew, driven by deployments by satellite customers and growth in the control-plane business. But this was offset by declining video infrastructure due to lower CPE business and consolidation among our major service providers. We have made key top leadership changes in both of these areas.
 Security grew 29%, driven by strength across our product portfolio, with network security up 35% and content security up 12%. Product orders grew faster than revenue as we continued to see solid momentum with our advanced threat solutions, including Advanced Malware Protection Everywhere, Sourcefire and ThreatGRID.
 Additionally, we also saw improved growth from our core business, including our high-end firewalls and ASA. A key part of our software growth strategy, security ELAs grew by 250% year-over-year.
 We are pleased to see revenue from our Sourcefire acquisition accelerate even faster than before they were acquired, which speaks to the power of our combined security architecture in the marketplace today. We have taken security from a low single-digit growing business to business that we expect to grow comfortably in double-digits going forward. Chris Young that one is yours, but I know you'll bring it home for us. A little bit of pressure, Gary, do you think that's okay? 
Gary Moore: It's perfect. 
John Chambers: Okay. Services revenue grew 5%, up from 3% last quarter, and it is trending very well. Strong renewals, large multi-year service wins, strong technical services performance and growth in new businesses, such as consulting, cloud and managed services. And security services drove our growth in the quarter.
 We continue to deliver our strongest margins in this business, well above the industry norms. We are focused on the continued integration of our services and product sales teams to accelerate our ability to drive integrated solutions and business outcomes. We are also investing with more focus on our renewal engines.
 While these are multiyear journeys, we see both efforts as creating more opportunities over the long term. 
 There is strong interest in our InterCloud approach, which we've asked Rob Lloyd to lead for the entire company.
 Customers and partners view our approach to the cloud as differentiated and unique, recognizing that we offer the only solution to federated, private, hybrid and public clouds that enable them to move their cloud workloads across heterogeneous private and public clouds, with the necessary policy, security and management.
 Over the last quarter, we expanded our InterCloud ecosystem with partners who are embracing the Cisco ACI vision and Cisco's open approach to differentiating their cloud offers through the value of the network.
 We announced that NTT Dimension Data and SunGard Availability Services will both use Cisco InterCloud architectures to deliver cloud services to customers and resellers.
 You will see us announce additional partnerships soon.
 In the quarter, we entered into a 3-year go-to-market program with Microsoft to build InterCloud-ready, integrated infrastructure solutions, leveraging Cisco's UCS, Nexus Switching and the Microsoft cloud operating system. We are also growing a developer network to build applications on top of InterCloud, and that work is gaining momentum.
 We believe we can grow DevNet developer community to at least 1 million developers by 2020.
 We feel that our focus on delivering enterprise-class, hybrid cloud solutions, along with growing InterCloud ecosystem, is resonating with customers and our partners around the world.
 Cloud is an example of an area where we're making significant investments to fuel our future growth.
 In FY '14, we allocated over 2,000 employees to our InterCloud organization, including several of our top leaders.
 These investments will drive our leadership and opportunity to the results -- though the results would not show up in our numbers in a meaningful way for a number of quarters. 
 I'd now like to turn the call over to you, Frank, for additional financial details. 
Frank Calderoni: Thank you, John. 
John Chambers: You're welcome. 
Frank Calderoni: I'll start with Q4 results and later discuss our full fiscal year results. In Q4, we continued to manage through the transitions in our business and markets, resulting in our financial performance at or above our expectations.
 From a top and bottom line perspective, total revenue was $12.4 billion, flat on a year-over-year basis. Non-GAAP net income was $2.8 billion, and non-GAAP EPS was $0.55 per share. Our GAAP net income was $2.2 billion, and GAAP earnings per share on a fully diluted basis was $0.43 a share.
 Product revenue declined 2%, and service revenue increased 5%, with product book-to-bill comfortably above 1. We ended the year with product backlog of approximately $5.4 billion as compared to approximately $4.9 billion at the end of fiscal 2013.
 Overall, non-GAAP operating margin was 28%.
 In Q4, our total non-GAAP gross margin was 61.8%. Non-GAAP product gross margin was 60.3%. As compared to Q3, product gross margin was negatively impacted by pricing and product mix, partially offset by productivity.
 Non-GAAP service gross margin was 66.8%, consistent with historical levels.
 Our non-GAAP operating expenses were $4.2 billion, or 33.8% as a percentage of revenue compared to 33.9% in Q4 of fiscal year '13.
 Operating expenses were up 5% quarter-over-quarter, due to seasonality, and down 1% year-over-year. We ended the year with our headcount at 74,042, an increase of approximately 200 from Q3. For the full year, headcount decreased by approximately 1,000 from a year ago, which is net of an addition of headcount from acquisitions during the year of approximately 1,300.
 As we outlined in our headcount actions last year, we realigned and reinvested in talent to drive key priorities such as cloud. We continued to execute consistently with our portfolio approach to acquisitions aligned to driving long-term returns. We announced and completed 3 acquisitions during the quarter, Tail-f, ThreatGRID and Assemblage, to bolster our innovation and long-term growth opportunity in key growth areas such as software and security.
 Looking at our geographic segment results. In terms of total revenue on a year-over-year basis, the performance was relatively balanced across segments, with the Americas and EMEA both down 1%, while APJC was up 1%.
 Total gross margin for the Americas was 62.3%, EMEAR was 63.5%, while APJC was 57.1%.
 Moving on to our full year performance. Our total revenue was $47.1 billion, a decrease of 3% from the prior year, as we worked through the challenges in the emerging markets and Service Provider, as well as several product transitions. We were disciplined with our cost structure during the year as we addressed those areas.
 We held our non-GAAP net income flat at $10.9 billion and grew our non-GAAP earnings per share, on a fully diluted basis, 2% to $2.06, delivering profitability which was slightly above our expectations for the full year.
 GAAP net income was $7.9 billion, or $1.49 per share on a fully diluted basis. We generated strong operating cash flow of $12.3 billion, free cash flows of $11.1 billion and returned a record $13.3 billion to shareholders through both the buyback as well as the dividends. This represented 120% of our free cash flow.
 We are firmly committed to continuing our capital allocation strategy, returning a minimum of 50% of our free cash flow to shareholders annually.
 Looking back on this past fiscal year. We effectively managed our portfolio and investments, which enabled us to invest in our key long-term growth areas such as cloud, data center, software and security.
 From a balance sheet and cash flow perspective, total cash, cash equivalents and investments were $52.1 billion, including $4.7 billion available in the U.S. at the end of the quarter. We generated operating cash flows of $3.6 billion during the quarter, and in Q4, we returned $2.5 billion to shareholders that included $1.5 billion through share repurchases and approximately $974 million through our quarterly dividend.
 Our balance sheet continued to be an area of strength, with DSO at 38 days and non-GAAP inventory turns at 12.1.
 Deferred revenue was $14.1 billion, up 5% year-over-year. Product deferred revenue grew 12%, driven by subscriptions-based offerings and deal-related deferrals, while services deferred revenue grew 3%.
 We continue to make progress in driving a greater software mix and higher recurring revenues.
 Let me now provide a few comments on our outlook for the first quarter. Let me remind you again that our comments include forward-looking statements. You should review our recent SEC filings that identify important risk factors and understand that actual results could materially differ from those contained in the forward-looking statements, and actual results could be above or below our guidance.
 The guidance we are providing is on a non-GAAP basis, with also a reconciliation to GAAP.
 As John mentioned earlier, we expect total revenue to be in the range of flat to up 1% on a year-over-year basis.
 For the first quarter, we anticipate non-GAAP gross margin to be in the range of 61% to 62%. As we have said in the past, forecasting non-GAAP gross margin has always been challenging due to various factors such as volume, product mix, cost savings, as well as pricing.
 As a result, non-GAAP gross margin may vary quarter-to-quarter by a point in either direction of our guidance range.
 Our non-GAAP operating margin in Q1 is expected to be in the range of 27.5% to 28.5%.
 Our non-GAAP tax provision rate is expected to be approximately 22% in the first quarter. This is up 1 point from the prior fiscal year, largely driven by the expiration of the R&D tax credit. This represents approximately $0.01 of impact to EPS. If the R&D tax credit is reinstated, we would reflect that benefit in our effective tax rate.
 Our Q1 FY '15 non-GAAP earnings per share are expected to range from $0.51 to $0.53 per share.
 As John also discussed earlier, we will be taking a restructuring action in FY '15 that will be focused on continuing to invest in growth, innovation and talent while managing costs and driving efficiencies. These actions will impact up to 6,000 employees, representing approximately 8% of our global workforce. We expect to take these actions starting in Q1 FY '15, and currently estimate that we will recognize pretax charges to our GAAP financial results of up to $700 million.
 We expect that approximately $250 million to $350 million of these charges will be recognized during the first quarter of FY '15, with the remaining amount recognized during the rest of the fiscal year.
 We expect to reinvest substantially all of the cost savings from the restructuring actions in our key growth areas.
 We anticipate our GAAP earnings to be lower than our non-GAAP EPS by $0.14 to $0.18 per share in Q1 FY '15. Please see the slides that accompany this webcast for further details.
 Other than those quantified items noted previously, there are no other specific differences between our GAAP and our non-GAAP guidance. This guidance assumes no additional acquisitions, asset impairments, restructuring and tax or other events, which may or may not be significant.
 We are executing well in a rapidly transforming market. As we have mentioned, we are not expecting a significant improvement in the emerging markets or the service provider segment in the near future.
 With all of these types of uncertainties in mind, we will continue to provide our guidance with all the appropriate caveats one quarter at a time. We encourage our shareholders to have their same -- these same considerations.
 As a reminder, Cisco will not comment on its financial guidance during the quarter unless it is done through an explicit public disclosure.
 John, I'll now turn it back over to you for some summary comments. 
John Chambers: Thank you, Frank. The dynamics in our business and market continue to play out as we said they would. Our management team's executing well, driving innovation and discipline across the entire company to disrupt our industry and ourselves when necessary.
 I am pleased with our leadership position and the strong receptivity we are getting from customers as we become the company that delivers architecture, solutions and finally, business outcomes.
 We have transformed Cisco over the past 3 years and remained as focused as ever on the future, moving to become the #1 IT company our customers turn to, to enable their innovation, drive their growth, cut their costs and mitigate their risk. What does that mean for our investors? First, we remain focused on shareholder value creation by maintaining the flexibility to make the right long-term strategic decisions for the business, driving efficiencies in our cost structure and returning capital through dividends and share repurchase to our shareholders. Second, investors need to remember that change is nothing new for Cisco. We embrace it, we see opportunities for disruption all around us. And in nearly every case, Cisco is positioned extremely well.
 In this environment, companies who use technology for speed and innovation will differentiate themselves. You see it in places never imagined, and it happens quickly, things like a new business model, delivering through a network application that disrupts the taxi industry.
 Every company is becoming a technology company, and the common element is the network at the center, driven by applications, allowing for rapid introduction of new business models, disrupting old models in record time. We've talked about this opportunity for a while, and now you are seeing it play out. Every company is increasingly dependent on the network, not just for communications but for how they run, analyze and grow their business and disrupt their competitors.
 In this paradigm, the reliability, scale, speed and application-centricity of a network is even more important, and this is where our unique strength lies. As the leader trusted by business and governments with 17,000 salespeople, approximately 70,000 partners and installed base of approximately $200 billion, Cisco is very well positioned to capture this opportunity, and I'm more confident than ever that we're doing just that.
 As always, we have to deliver the innovation, the new business models and value to our customers to win in the market, and that requires continually reshaping how we operate. If we do not disrupt ourselves, if we don't have the courage to change, if we don't lead the change, we will get left behind.
 Disruption is happening amongst our peers and throughout our customer base. Management teams are being tested everyday. The question is whether they will make the right investments and take the bold action in order to move forward.
 At Cisco, we are making these tough choices, transforming our company at a rapid pace, whether it is introducing revolutionary new platforms in our core and at a speed where we knowingly disrupt ourselves, or making long-term bets like we did with UCS and Internet of Everything and are now doing with InterCloud and ACI, Application Centric Infrastructure. We are investing in our leadership for years to come.
 We understand that the results of our strategy and many of the decisions we make may not be evident in a single quarter. And in fact, at times, will create volatility to our results from time to time. We also know that some of the investments we are making today will take several years to pay off. Taking a multiyear view, I am confident that when we look back in time, this transformative period will be a distinguished part of Cisco's history, where we made bold choices, moved aggressively and ensured our long-term strategic value for our customers, shareholders, partners and employees.
 Mel, let me now turn it over to you for question-and-answer. 
Melissa Selcher: Okay. Thanks, John. We'll now open the floor to Q&A. [Operator Instructions] Operator, please open the floor to questions. 
Operator: And our first question comes from Brian Modoff with Deutsche Bank. 
Brian Modoff: Let's talk a little more about switching. It's 30% of your revenues. You're talking about this transition to the 9000, and then you've also got the 3850. And from what we understand, you're bringing forward the 802.11ac Wave 2 APs later this year that because of the change in voltage requirements and higher data rates may create an uptick or a desire to upgrade switches on the campus side in the back half of the year. Can you talk about how you see the switching market is going to be doing in fiscal '15? Can we see a transition? Do you see growth in the market? Do you see a better '15 in that area than perhaps '14? 
John Chambers: The answer is absolutely yes. If you watch, we disrupted ourselves at the high-end segment of the switching market. The way I look at it, and what we said last quarter, that will take several quarters more to work out. And in today's market, the 7000 was down in the mid to high teens. And the 9000, obviously, was growing very, very well overall. So I kind of consider those 2 products together in our entire Nexus line. You'll begin to see a switchover in Q2 and Q3 in terms of this transition. And with all the appropriate caveats, I feel good about growth late Q3 and Q4 with good market leadership. So I do see our high-end switching and switching as a whole growing. We are positioned extremely well. And if I can, just a note on our competitors. Our competitors are coming at us with box solutions, and we're going to approach them with an architectural play that includes software and hardware, and that wins. We've been in 580 accounts, as I said earlier. And we've also taken back a number of one of the startups key flagship accounts again and again[ph]  In multiple areas. So I think we're positioned well, and yes, it is a growth market. And the transition is more 10 gig to 40 gig that I think will help drive these volumes as well. 
Operator: Your next question comes from Simona Jankowski with Goldman Sachs. 
Simona Jankowski: I wanted to put your guidance in context a little bit. So you're guiding for 0 to 1%. First of all, that's a bit narrower than it has been in the past 2 quarters. So I just wanted to understand if there's better visibility or what's driving that. And then secondly, it's a lot lower than your product deferred has actually grown. I think you indicated something like 12% as a result of the transition to software. So can you just expand on that a little bit? It seems like that's something that's taking place at a relatively rapid pace. 
John Chambers: Okay. The visibility is improved in most of the areas, the 2 wildcards we talked about. As you come off of a very solid book-to-bill in Q4, which is normal, and we did it high end of normal book-to-bill, and as you said, we exited with $5.4 billion in backlog. I think last year was $4.9 billion. So the visibility for Q1 is pretty solid, and I like how we're positioned on that. We want to also realize we still have some headwinds we've got to get through. So I think we're just being our normal, conservative self, Simona. I'm not signaling any unusual lack of confidence on it. I like our hand a lot. And we actually did something, some of you suggested, we put our negatives at the front end of the call and the positives afterwards so we don't get you excited in the front end and then say here are a couple of challenges. But I think we're positioned extremely strong. Our switching play, as I said to Brian, is very solid. We've transitioned the high-end routing well. The outcomes are selling. If you look purely at Commercial and Enterprise, these are the best numbers we've seen worldwide in a very long time, even when the economies are struggling. So I think we're doing very well in a tough market, and I feel very good about our future here and very good about Q1 and the tight range that we did give you. 
Melissa Selcher: Do you want to touch on the deferred? 
John Chambers: I do -- oh, the deferred revenue, do you want to comment on it, Frank? 
Frank Calderoni: No, just pretty much what I said in the script. I mean, the deferred revenue is up 12%, primarily, that's product deferred revenue, mostly driven by-product subscriptions so it kind of shows that the WebEx, products like the Meraki, as well as the collaboration enterprise license agreements are really kind of showing some traction and they provide us with a stream of revenue going forward. The recurring revenue increased as well as far as going to the year. So all good signs from that perspective. But again, we had to put it in the context of, John, what you just said as far as some of the other factors that we are considering. 
John Chambers: Yes. If you watch, we are making that transition, and Gary, you've seen it from the General Motors of the world, to others who are starting to accelerate with enterprise license agreements. And just using security as an example. The security orders were dramatically higher than the revenues. And so you begin to see both that's filling up our recurring revenues, as well as the deferred revenues that go with them. 
Operator: Our next question comes from Mark Sue with RBC Capital Markets. 
Mark Sue: I just wanted to have a larger discussion, John, on just kind of your stock price and the stock multiple. And when we talk to investors, the worry is that despite the consistent free cash flow, we might see a drop-off in the future cash flow, and that you will not be able to grow your dividend. Is there a way we can convince investors that Cisco can consistently generate $12 billion to $13 billion of free cash flow each and every year and continue to grow their dividend? And subsequently, should M&A be more about cash flow contributions so investors can worry less about that? And can you also maybe, Frank, if you want to chime in, explain why the weaknesses in emerging markets and Service Provider orders does not really impact annual free cash flows? 
John Chambers: Okay. So do you want to give me one or two questions? Let me address the cash flow question a little bit, and then a comment on tax policy. And Frank, keep me honest on this one. I feel very good about our cash flow. We are committed to the dividend and the share repurchase. We see no indication of ever changing our direction to have a minimum of 50% free cash flow returned to our shareholders. And as Frank said, it was 120% this last year. We obviously were pleased with the share repurchase. When we started down the dividend path, we knew that there would be periodic raises expected. And we have full intention of, at the right times, raising the dividends as we move forward. So not changing that at all. Frank, any additional comments? 
Frank Calderoni: No. Again, we've been down this path the last couple of years, thanks to a lot of feedback from the investors that supported both the dividend and the buyback. Clearly, we've had a very active year in both. We continue to support the dividend over the longer period of time. And I think, as you said, John, we're generating the cash, we're very pleased about the ability to generate that cash. Our cash flow has been fairly consistent even throughout this past year. And the assumption going into the next year is about the same. 
Operator: Our next question comes from Amitabh Passi with UBS Securities. 
Amitabh Passi: John, I understand and realize that workforce restructuring decisions are always tough decisions to make. I just wanted to better understand the context of why now. And if you can give us any -- shed any light in terms of the areas where you might be deemphasizing. And should we think of the 6,000 employees as a net reduction or it's simply a reallocation of resources into some of the other areas? 
John Chambers: In reverse order. Reallocation of resources is the way you should address it. It is an investment in our growth areas that we felt strongly we needed to do quickly. In terms of why now, it's the uncertainties in the market, you're seeing a few headwinds and a lot of tailwinds. The pace of change is accelerating, and we felt we had to move with tremendous speed on it. We are going to put these investments into our growth areas such as cloud, such as software, such as security. And these are often skill sets that you have in one element of engineering that have to move to another. Pankaj has been planning that, Rob, I think, for almost 10 or 11 months, in terms of how to do this smoothly, focused more on the customers. And then you have the same issue in your market. Some of our markets are slowing down and unfortunately, you can't move sales reps from one country to another with different language characteristics. And Gary, in services, it's hard to move a person that's really good about installing networks to business outcomes on the manufacturing shop floor or with deep security experience. So the why now is if we're going to become the #1 IT player, which we are going to do, our ability to move requires decisiveness and requires investing in this growth and it really keeps this innovation engine. And while this last year was our best innovation engine ever, new high-end routing, new high-end switching, new security moves, new collaboration moves, aggressive moves on wireless, Internet of Everything took shape, architectures moved into solutions, we think we have to move even more rapidly and get these groups coordinated. So we focus the whole company horizontally on getting business outcomes. And so you're right, it is the most difficult decision we make as an operating committee, but it's one, the market waits for no one, and we're going to lead this market. We're going to be decisive in it. 
Operator: And our next question comes from James Faucette with Morgan Stanley. 
James Faucette: I just wanted to touch base quickly on the emerging markets. You suggested that they had slowed down in the most recent months, et cetera, and you weren't willing to talk about when you might see a recovery. Can you talk a little bit about what you think contributed to that slowdown? And clarify, when you talk about not wanting to talk about a recovery,  are you talking about when you -- like you don't want to speculate as to when they'll stop declining? Or should we expect a baseline but you don't want to expect -- talk about when they would expect to return to growth? 
John Chambers: Sure. If I could predict when the emerging markets are going up or down, I would love to do that for us all. We tend to be a very early indicator. And just kind of taking a step back to 1 year ago or 15 months ago, we saw the emerging markets, the BRICS slowed down first, and then one quarter later, the rest of the emerging markets slowed down. They felt like they were turning around in Q2 and Q3 and our numbers instead of being in double-digit decline were in the mid-single digits. We saw this last quarter, the BRICS plus Mexico stay at about 12%, but it was the next 15 countries that, in total, balanced out. Now these  can turn up or down rapidly. And so what we did today was to share with you that they had declined more than we anticipated, and that we weren't sure when you'd see a turnaround in Russia and the Ukraine and Middle East opportunities and challenges, and in China. Thailand, obviously, a key issue we're all familiar with, and an election in Indonesia. There are some bright spots for the first time in a while. I think Modi in India is going to turn around that country. You can see the enthusiasm of both the citizens and the businesses there. If I were betting on a single emerging market, I'd bet on India right now in a big way. And if you watch, we've navigated through challenges, regardless of whether they're in China or Russia, pretty smoothly. And so you'll see us continue to stay focused on emerging markets, but we just wanted to level set you that we saw this problem at the present time and we're not sure if they're going to continue to decline or not. But again, they can turn very rapidly positively. So we just want to give you the exposure on that. 
Operator: Our next question comes from Jess Lubert with Wells Fargo Securities. 
Jess Lubert: I was hoping you could provide some additional details on the U.S. federal vertical. Orders picked up there, so I was hoping to understand if you're seeing signs of a fiscal year end flush, how you're thinking about the federal market moving forward? And then if you could also touch on the wireless business, how fast the noncarrier segment is growing? What the impact of Meraki is on overall growth? And perhaps comment on the competitive environment,  as it seems like some of your competitors are growing a little faster there. 
John Chambers: Okay. So I think our federal team and the state and local team have done very, very well. Pat Finn has done an amazing job there. And Pat, if you're listening, congratulations. I do not think it was a one-quarter phenomenon. Too early to call, and Mel will probably kick me if I get into too much detail. But I feel good about how we are positioned, both in federal and state and local as we go into this next year. And I feel very good about, obviously, U.S. Enterprise and Commercial. They don't normally be in the 8% to 12% range. I think it's last quarter, they just did an amazing job on big deals and they had a lot of financial incentives working for them at the end of the year. But I feel good about the U.S. economy. We got to do better in Service Provider and that's why you saw us change everything, change our engineering organization, change our global go to sales marketplace to a point of our stars, Rob, out of you and Chuck's sales team. And Nick Adamo, he's leading that globally. You'll see Pankaj literally within the engineering team. Had Kelly Ahuja lead Service Provider across the whole team. So we're now organized around our customers as opposed to selling them routers and switches and wireless and direction on it. So I think you will see us move well on Commercial and Enterprise globally as long as the economies continue to do okay. I think we need to do better in Service Provider, as I've said. That's a couple of quarter phenomena if we execute right, and then it's what is the Service Provider spend. So we have a little bit of headwinds there. But if you were to say how do I feel going into Q3, Q4 of next  year, I think if we execute well, you'll see us in better shape on the Service Provider, and then it's more a matter of the CapEx spend as you go forward. And you had one other question, Jess, which I'm excited to answer if I can remember what it is. 
Melissa Selcher: Meraki growth. 
John Chambers: Oh, Meraki growth has been outstanding. I think there is an example of taking a architecture and a play, combining it with collaboration and just literally expanding it in security and expanding across our whole base and blowing it through our channels. I don't know, Rob, if you'd add anything else to that. I haven't done the math on the question he asked within that, come to think of it. But I'll see if by next call, we can think about how to answer that. 
Operator: Your next question comes from Subu Subrahmanyan with Juda Group. 
Natarajan Subrahmanyan: My question's on gross margin. Can you talk about some of the points you made on some of the price pressures and mix? How those are impacting, especially as core products including switching and routing started to rebound? Should we expect an improvement from a gross margin perspective? 
John Chambers: I'm looking to see whether Frank wants to do it or I want to do it. We're seeing no abnormal gross margin pressures. We compete aggressively in the market, but we hold our gross margins pretty well. It's normally more of a mix issue. In terms of the switching, I like our switching gross margins. And I think contrary to some of the comments that are being made out in the market, you're going to see our new switching product gross margins be extremely good, and that's the advantage of selling architectures that lower your customers' operating expense and gives them solutions as opposed to selling boxes, which I think the time has come box competitors are going to face white label guys with a tremendous pressure. Something we've called out 3.5 years ago and moved to overall. You still have the mix going on. I love how fast our UCS is growing. When you're a $3 billion market growing at 30%, or 30% plus, I think bookings were even a little bit above that, you will see pressure from that side. But to your point, as we move into software and as we move into high-end switching coming back growth-wise, that kind of balances it. So no, I would not model an increase, There'll be pressure on gross margins. Gary, you and Frank are owning that across the company for us. Just Gary, you might spend a moment because I know it's important to the audience, talking about how we're going after this in every aspect of our business even more aggressively than last year? 
Gary Moore: Yes. I think this last year, we had tremendous performance out of the teams. And I think, we've focused the entire company on gross margins. It's not just the engineering team or supply chain. It's the entire company. A lot of the work, some of the systems we put in place to help the sales force have better visibility, better control on a deal-by-deal basis to see what discounting we're doing, as well as the pricing in the market, understanding our competitors better in that landscape, while continuing to do the value design, value engineering work and the continued investments that Frank and I had funded off the top [ph], if you will, to allow that work to continue. So we're very comfortable with what has happened and our ability to manage this going forward. We've asked the teams to step up even more significantly as we go into next year, and we're going to give them a lot of help to do that. 
John Chambers: Now Mel is probably going to lecture me after I make this next comment. For those of you who are out there who think SDN is going to drive down our gross margins, in my opinion, you're just wrong. You're going to see us embrace SDN. You're going to see us implement it for the value that it has. We not only will lead with it's implementation, it will allow us to get higher gross margins on our switching and architecture. And we'll do it off of an open standard and end results. And different than our peers, when we talk about 60 paying customers, we mean 60 paying customers, not taking an enterprise license and spreading it thin across the group. So we're going to take it to our competitors big and small. It doesn't matter if you're a major server player, we're going to gain share on you. It doesn't matter if you're a new startup. And one of the nice things about Cisco is our barriers to entry are very low, they're very open. So we love taking on the competitors, big or small. And I feel very, very good about how we're positioned there. And Rob, unless you're seeing something different than I am, I see SDN actually being something we'll embrace and get the benefits out of. And I feel almost no gross margin negative implications from it. 
Robert Lloyd: John, we clearly are the only company out there talking about connecting applications to the infrastructure, and we're the only company talking about the applications, not only in the context of the data center network, but the entire network, including at the wide area and at the access layer. So we've got more work to do. We're seeing customers everyday. Our partners are embracing this. Cloud providers are embracing this. So when we talk about one of our competitors being a great underlay to another company's overlay, it kind of feels like being the foam pad between the hardwood floors and the carpet. And we are not going to leave that alone. We're going to continue to drive the integration we have and we're going to compete very hard. 
Operator: Our next question comes from Ben Reitzes with Barclays. 
Benjamin Reitzes: A lot of good questions asked about margins and emerging markets. So I want to ask about carriers. There's a lot of debate about what the spending patterns are and what consolidation is doing to the marketplace. And what are you seeing? And what's embedded in your guidance for Carrier? I know you said you're assuming Service Provider doesn't get better. But what do you think's going on? And how does it get better? And what's your thinking as we you go throughout the year? 
John Chambers: Sure. Service Provider, just to give you a context, if you look in today's market, Service Provider, Enterprise and Commercial are all about 25% to 27% of our business. And so it gives you an idea of kind of the things that drive it, and public sector's down about 20%. In terms of where we see Service Provider overall, there are some headwinds there. And so let me talk first about what we're doing differently. We have focused our company on becoming entirely solutions and outcome-based selling, including our consultancy. We're moving to where we used to sell to the service providers. We'd go say, "What's your business objectives?" And then we sell them a router or a switch. We're now saying, "How do we sell you solutions? "How we help you go-to-market? How do we lower your operating expense?" That's the transformation in the field. Some of our fields are well on the way to doing that. Rob, other areas have a ways to go. We also completely changed engineering, the way we look horizontally across engineering on how we go-to-market. The Service Provider customers love the approach. It makes all the sense in the world to them. When we come out, I've got, Gary, was why didn't you do it earlier. and so you'll see us as we get our arms around this, make a pretty good transformation. And now, Mel, I'm defining an A job. In the next year to 2, just like we did on Enterprise. Because 2.5, 3 years ago, we were just in great shape on Service Provider, and candidly, we're starting to lose our lead on Enterprise. And what you've watched over the last 2 years, we went with architectures, we combined the data center with cloud, with security, with mobility. We talked about operating cost savings, we talked about outcome-based savings. Our number of big deals have increased dramatically and we're selling to the business unit more than we are the CIO now when we do our job right, with the CIO's support in terms of direction. In terms of SP Services. You're beginning to see a global delivery at that type of capability. And Gary, that's where you've got [indiscernible], really hitting all the cylinders on our consultancy. And we feel good -- you haven't asked the question, but we feel good at services at the 5% levels. So you can kind of feel that's starting to gain momentum again. And we're finally looking at a global delivery as opposed to candidly being organized by geography, which is not how our customers want us to be organized. There absolutely is, when you have 2 major combinations, the Time Warner and Comcast just being one of them, and when you have more combinations, dollar- or volume-wise, in the last 12 months than you had in 4 years, there are a lot of these going on. Those tend to have temporary slowing effects, not shutting off, but slowing effects until they get their decisions together on how the networks come together where they make investments. And then over the longer term period, if we do our job right, there are actually increased opportunities for us in that market. And then they're struggling with their own business models. They're having fits making money, which means they're squeezing the vendors as hard as they can. Having said that, that's why you move to an architectural sale and value-added sale as opposed to standalone boxes, which I do think will be kind of ugly. So that's why, I think, if you look out, probably going to be tough for a little while, I'd like to see us make steady progress. I'd like to see us exit this next year in a lot stronger position than we are today and do an instant replay of what we did in the enterprise and commercial market. 
Operator: Our next question comes from Kulbinder Garcha with Credit Suisse. 
Kulbinder Garcha: My question is maybe for John. How he actually sees the year playing out from a revenue perspective. It sounded, at the beginning of the call, like you said, don't extrapolate the near-term revenue visibility and strength that you have. On the other hand, you're very excited about some of your new products. And I kind of thought that we were going to see it, probably you're coming off a period of easier compares. So I'm just trying to think, as we go through this year, when -- is this the year that Cisco will return to growth, do you think, meaningfully at some point? How do you see that playing out? And then the other question I have is that with the Nexus 9000 being out for a while, and the APIC controller now being out, why doesn't the share and the value of your sales of that can drive to your business, just how meaningful at some point? Isn't that a very positive driver 6 months out or am I thinking about the timing of this transition to be much longer? 
John Chambers: Okay, so if I give yearly guidance, Frank would trade me in. And we knew we'd get asked a number of different ways on that. I feel good about where we are. You should read into my comments today,  we're very, very positive on what we can control. And even on issues we don't control as well, I see us exiting the year in a stronger position and potentially very much stronger than we are today. Therefore, let me answer your question about the 9000 and ACI. It's unfair [ph], guys. The key is, once you get into the account, they're going to put their pallets in, you've got to get the controller in place, you've got to then begin to scale. I've been through this with the team just this last week. We looked at the crossover points based upon forecast for when the 7000 in the 9000 get to a growth that Rob and I will do back flips over. And you could argue which quarter that will occur in the year, but somewhere in the middle, toward the end of the year, that will occur, if we do our job right and the acceptance from customers is really good. I have not missed on a call on that when we outline our architecture and our whole approach to market where we're going on it. So it's really going very well. I have almost no criticism. If I look at the number of customers and the growth quarter-to-quarter, we're growing dramatically faster than a startup has  grown in 5 years. We're at a run rate in 1 year, and it gets very exciting in this next fiscal year. So I would challenge a little bit the data about where we are. It is going extremely well. And candidly, I expect very big things from it this next year. Going from 180 customers to 580 in a quarter is off the charts in terms of direction. But then you've got to scale, you got to get ACI, getting the controller working in volume and ACI implemented across it. So I look for that -- those type of crossovers in Q2, Q3 to be meaningful. Rob, what else would you add? 
Robert Lloyd: I'd just add, John, that in some of our conversations with cloud providers, who are really focused not on chasing the commodity cloud business but are focused on enterprise workloads, they love the APIC controller. They love the scale, they love the integration we can deliver, they love the automation. So we're seeing that as a key building block of our InterCloud conversations. And when we build that APIC controller into so many public clouds, we're really going to nail the hybrid cloud marketplace, which is where we see all the growth. And it will augment the growth we're seeing right now with our UCS. 
Operator: Our next question comes from Paul Silverstein with Cowen and Company. 
Paul Silverstein: John, 2 clarifications, if I might. One, I think you touched on it earlier on services. This was the first quarter in the past 7 or 8 where there was a turnup in the growth rate. The obvious question being, is that a one-off? Or should we start to see that either stabilize or improve from here? It was a meaningful improvement over the past trend. And then the clarification. On your wireless LAN business, we x-ed out the small cell business, and we just focused on the Wi-Fi piece. What would the growth rate look like? 
John Chambers: Got you. I'm going to verify numbers on it. The first part of the question was on services. I feel -- no, I'm going to let Gary brag about it. Go ahead, Gary. 
Gary Moore: So look. I mean, services revenue, they grow 5%, up from 3% growth last quarter. I think the trend is it's trending well. I think we had, in Q4, very strong renewals. We had some very large multi-year service wins. We had very strong technical support services, as well as advanced services in the quarter. And I think some of that growth is coming from our new businesses that we've been investing in: consulting, cloud, managed services, as well as our security services offering, not only security services and consulting, but the new managed threat defense service that we've launched. And I think all of those things contributed to growth in the quarter. And as John pointed out during the call, we're very confident in where we're at with the services. We have, not only a great team, we have a great installed base. And we're doing things to continue to optimize that and bring value to our customers. 
John Chambers: And I don't have the individual wireless LAN data in front of me. I'm not dodging the question. But by definition, Meraki was strong, that was a little bit weaker than we would like to have seen overall in it, Paul. And I think you'll see us address that appropriately in terms of getting back on track on the wireless LAN capability. 
Operator: Our next question is coming from Jeff Kvaal with Northland. 
Jeffrey Kvaal: I was hoping to get a little bit more color into the trajectory that the recurring revenue is on. Could you tell us a little bit about how much of a percentage of sales that is growing, how quickly that's growing year-over-year? And then also to what extent that cost you on your top line growth? 
Frank Calderoni: The recurring revenue, it's about -- slightly under about $2 billion, if you look at -- from that perspective. It's been growing, I would say, in the range of about $100 million a quarter. And as far as I had mentioned before, it's a combination of looking at WebEx, some of the security products that we have that's recurring, collaboration, enterprise license agreement and it's also the Meraki. There's a portion of the Meraki which is part of the recurring, so that's been adding to it since we've done the acquisition. So it's a big piece of the product descriptions in all these categories that's adding to. And that gets, as I said, recurring revenue over a period of time. 
John Chambers: So if you look at it, we're going to move faster and faster in this area. We understand fully that when you do recurring revenue, deferred revenue, pay-as-you-go services, subscription, as opposed to onetime fees, you have all the expenses upfront and you don't get the payback on that. And that is probably one of the reasons -- 6 or 7 reasons why we are moving our expenses so aggressively on the limited restructuring. If we didn't free up resources and move them over, 2,000 people into InterCloud and clearly, it will be a number of quarters before we start to get the payback there. On these recurring revenues or many of the deals we've done on enterprise licensing, Gary,  you don't get your revenue up front but you do much better over 2, 3 and 4 years, but we get all the expenses upfront. So that's why we felt we had to move -- one of the reasons we had to move aggressively to position ourselves for the future. And you're going to see us move aggressively. The market doesn't wait for anyone? We're going to lead it, period. And the ability to do that requires making some very, very tough decisions. But it will be about growth for us, innovation and at the same time, focus on our own talent. And we will manage our costs very aggressively and drive efficiencies, which really, if you think about engineering, that's what Pankaj is doing, probably Gary, more than anything else, that's driving the efficiencies across then freeing up the resources for the new areas. So Mel, I think that's a pretty good one to end on. But it's your call. Would you want to do anything else? 
Melissa Selcher: No, I think we can end there. Do you want to... 
John Chambers: Yes. I think if you were to take a step back, we executed very well in a tough market. I feel stronger now than I did a quarter ago about where we are today. You're going to see us lean in and drive on transformation. Anytime you do a restructuring, that's hard on the leadership team, I don't want to mislead you. But we will always make the decision of what's right for our shareholders, our employees, our customers in the long run, and partners. The results look very good. I like what I see in front of us. I think the challenges are largely ones that are more external, that are hitting us with the headwinds. That doesn't mean we shouldn't do better in certain areas. And I feel very strong going into fiscal year '15 in terms of where we're positioned. 
Melissa Selcher: Great. Thanks, John. Cisco's next quarterly call, which will reflect our FY '15 first quarter results, will be on Wednesday, November 12, 2014 at 1:30 p.m. Pacific, 4:30 p.m. Eastern. And I'd like to remind you that in light of Reg FD, Cisco plans to retain its long-standing policy to not comment on its financial guidance during the quarter unless it's done through an explicit public disclosure. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation and continued support. This concludes our call. 
Operator: Thank you for participating on today's conference call. If you would like to listen to the call in its entirety, you may call (888) 403-4665. For participants dialing from outside the U.S., please dial (203) 369-3148. You may disconnect at this time.